[speaker 0]: Thank you for joining us. The conference will begin shortly. If anyone should require operator assistance during the conference, Please note, this conference is being recorded as of today, 12/08/2025. I will now turn the conference over to Luke Zimmerman with MZ Group. The company's Investor Relations firm. Thank you. You may begin. Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to Mama's Creations Third Quarter Fiscal twenty twenty six Earnings Conference Call.
[speaker 1]: During today's presentation, all parties will be in a listen only mode. Following the presentation, the conference will be open for questions. This conference is being recorded today. Monday, 12/08/2025, and the earnings press release accompanying this conference call was issued after the market closed today. On our call today is Mama Creation's Chairman and CEO, Adel Michaels, and CFO, Anthony Gruber. Before we get started, I'll read a disclaimer about forward looking statements. Conference call may contain, in addition to historical information, forward looking statements within the meaning of federal securities laws regarding Monmouth's creations. Forward looking statements include but are not limited to, statements that express the company's intentions, beliefs, expectations, strategies, predictions, or any other statements relating to its future earnings activities, events or conditions. These statements are based on current expectations, estimates, and projections about the company's business based in part on assumptions made by management. These statements are not guarantees of future performance and involve risks uncertainties, and assumptions that are difficult to predict. Therefore, actual outcomes and results may and are likely to differ materially from what is expressed or forecasted in the forward looking statements due to numerous factors discussed from time to time in the company's 10 ks and other documents which the company files with the US Securities and Exchange Commission. In addition, such statements could be affected by risks and uncertainties related to factors beyond the company's control. Matters that may cause actual results to differ materially from those in the forward looking statements include, among other factors, the loss of key management personnel, availability of capital, any major litigation regarding the company.
[speaker 0]: In addition,
[speaker 1]: throughout today's call, the company may refer to adjusted EBITDA a non GAAP financial measure, which it believes provides helpful information to investors. About the performance of the business on an ongoing basis. Reconciliation of adjusted EBITDA to its most directly comparable GAAP financial measure is included in today's earnings press release. It's available on the Monmouth Creation's website under the Investors tab. And finally, this conference call contains time sensitive information that reflects best analysis only as of the date and time of this conference call. The company does not undertake any obligation to publicly update or revise any forward looking statements to reflect future events information or circumstances that arise the date of this conference call. At this time, I'd like to turn the call over to Chairman and CEO, Adam L. Michaels. Adam, floor is yours.
[speaker 0]: Thank you, Luke.
[speaker 1]: Thank you to everyone for joining us today.
[speaker 2]: I'd like to welcome you to our third quarter fiscal twenty twenty six financial results conference call. This was a transformational quarter for MAMA's. One where the business continued to scale, our retail momentum accelerated, and we took a major step forward in our long term strategy. With the addition of the Bayshore facility through the recent acquisition of Crown One. Our performance this quarter reflects both the strength of demand for high quality, deli prepared foods and the work our teams have done to build a modern, scalable, highly efficient platform. Revenue growth again outpaced the category, accelerating our market share gains supported by balanced geographic expansion, disciplined trade and marketing promotion investments, and new wins across multiple channels. Even in a macro environment where consumers remain selective, our value proposition continues to resonate. Grandma quality food, at the right price ready when they are. I would like to start with our recent act acquired facility in Bay Shore, New York. Because while many think the acquisition announcement is the finish line, for us, just like in a triathlon, it's just the first leg. And we are already thinking ahead to the next phase of integration. And I could tell you, we're off to a tremendous start passing and picking off competitors left and right. To start, this Bayshore team is exceptional. Andy has unleashed an incredibly strong management team. This team is eager to win. And the tools, resources, and colleagues shared amongst these rough and Farmingdale are creating a powerhouse team. Culture must never be underestimated. And now that Bayshore is back home with its food manufacturing colleagues, and their work is core to the MAMA's organization, Bayshore is reborn. Our newly acquired facility in Bayshore brings a recently upgraded USDA facility. Automated and artisan production capabilities, a reputation for grandma quality items that fit squarely within our brand promise. It also opens the door to a customer set that historic has been difficult to access. The proximity of their facility to our Farmingdale facility gives us a structural advantage. Similar grills, joint training, and shared playbooks. Which allow us to move quickly on procurement, labor alignment, and SKU rationalization. In three short months, I am proud to report that a 100% of Bayshore's procurement is firmly centralized. This means we're leveraging our volume across all three facilities. Driving specification alignment, and inventory management, For example, leveraging MAMA's scale, we were able to reduce Bayshore beef cost double digits in the first month alone. If that is not exciting enough, we've already realized our one plant three location strategy. Transitioning some East Rutherford and some Farmingdale production to Bayshore, unlocking capacity reducing overtime, and increasing absorption across our network. Thanks to Skip and his team, in three short months, you can no longer see where one plant begins and the other ends. We are one plant. Delivering on our shared one stop shop strategy. The team is already working through even more synergy capture opportunities, and we expect to lift Bayshore's gross margin towards our historical corporate range over the next year. But stepping back, they immediately strengthened our category position. And scale that accelerates our path towards long term $1,000,000,000 revenue ambition. I'm appreciative of the Bayshore team's commitment to our vision. And thankful for our new teammates. Turning to consumer trends, the grocery deli is becoming one of the most important battlegrounds in modern food service. Consumers aren't choosing between brands inside the restaurant channel. They're choosing between the restaurant channel and the grocery prepared food set. Even major restaurant operators like Chipotle noted, on their most recent earnings calls that they're not losing guests to other chains. They're losing trips to grocery and food at home occasions. That dynamic directly benefits us. Industry data shows that the share of shoppers replacing a restaurant meal with deli prepared foods has more than doubled since 2017. Consumers want speed, value, freshness, and the ability to shop for the rest of the household at the same time. Fully cooked meats grew 4.8% over the past year, Chicken remains the top performer in the category. And the overall retail food service segments has grown to over $52,000,000,000. These are the exact spaces where MAMA's competes. And wins. Operationally, we continue to execute against our four c strategy and strategic pillars.
[speaker 0]: Cost,
[speaker 2]: controls, culture, and catapult. On cost, our logistics and procurement teams again delivered measurable improvements with freight down another 30 basis points versus prior year. Driven by denser freight, better material planning, lowering our transportation expenses. Impressive work by Anthony and his team has taken advantage of lower chicken commodity prices in the quarter capturing below market spot buys and marrying it with Ray's increased trimming execution. While we know this won't last forever, these opportunities highlight our agility and how quickly we can react when the market shifts. As we plan for fiscal twenty seven, Bayshore's chicken needs will nearly double our overall chicken volume demand. Which positions us to negotiate stronger supplier partnerships and unlock better unit economics. I'm excited to share with you today that we're in final negotiations with our commodity suppliers to lock in agreements for calendar '26. This will add much appreciated stability to our supply chain. Allowing Skip to better manage his costs and will allow Chris to more effectively manage his pricing strategies. Under controls, work Alberto is doing to build new capabilities around demand and supply planning
[speaker 0]: are creating massive dividends.
[speaker 2]: The visibility is improving our customer service levels. Production efficiency, and most importantly, informing our fiscal twenty seven planning. For example, because of this demand visibility, we've been able to increase our chicken throughput by nearly 40% versus prior year. While reducing overtime by over 400 basis points. What gets measured gets improved is not just a mantra in our organization. It's how each of our 600 associates work every single day regardless of which of our three facilities we are in. I also must thank John and his IT team for making the Basetore transition seamless. We didn't miss a beat. And the work he'll be doing over the next six months in partnership with Andy and his team will allow us to move to one ERP system. System. Adding even more real time insights and analysis into our business. On culture, honestly am not sure what to highlight because everything we do starts with culture. Abby and her team were there at 5AM on Tuesday morning after Labor Day to welcome our new Bayshore colleagues. Not even sure she left that building for that first week, ensuring our new colleagues had their forms filled out, payroll transitioned, benefits updated, and most importantly, had their new mama swag. A week later, magically, everyone was a new mama's employee. And we had only lost one employee. At his choosing. In all of my years doing m and a, I think this was the smoothest transition yet. Thank you, Abby, Claudia, and Candy. And to the Farmingdale employees who rolled up their sleeves before their day job to ensure our Bayshore employees felt welcome. Another culture moment to highlight is the successful transition of our company. From a make to order to a make to stock organization. This means with Skip's guidance, we have now created inventory stock of our highest velocity items. Resulting in higher service levels for our customers and lower over time for our operations. Because we're anticipating our customers' needs. This would not be possible without the cross functional alignment across sales, manufacturing, logistics, and finance. This is just one more example. Of how this organization has evolved from a subscale Northeast meatball company three years ago into a national one stop shop deli solution with the foundation to support anything our customers need. Oh, and did I mention our first ever battle of the bridges? Where our New York employees took on our New Jersey employees at soccer? Sorry. Football. Let's just say that I personally won as everyone made it into the factory Monday morning safe and sound. I'll take the win. In the New Year, while I will not be able to speak to the look of their play, I can guarantee you that they will be decked out in new mama's kit. And on catapult, which reflects our purposeful and profitable growth our teams delivered another quarter of market share gaining momentum. In Q3, we exceeded our goal of adding not one, but two tier one national retailers. The first is Target. Where we have confirmed two branded sleeve items to begin shipping in February. With a staged rollout to 1,995 stores and additional items in the final setup stages for later distribution. In Food Lion, another major national retailer, we're entering 1,100 stores this month. With two new branded chicken items as well as rolling out three branded sleeves starting at 400 stores. This is a huge testament to Chris and his team after years of tastings, packaging optimization, and hand cramping paperwork. Congrats to Peter for getting us over the finish line. These wins reflect both the credibility of our brand and the demand from retailers for turnkey deli prepared solutions that drive traffic to their stores and save on labor. The club channel was another bright spot. Thanks to Scott, after a successful five region rotation of our branded our first national Costco MVM, cheese stuffed chicken meatballs in Q3, With branded beef meatballs hit in Q4. And is already creating a noticeable lift in trial and brand awareness. Thanks to Eric and his East Rutherford team, our production is ahead of schedule, creating confidence that we can deliver whatever Costco needs whenever and wherever they need it. Costco continues to be one of our strongest strategic partners and the MVM confirms their confidence in our ability to execute. At a national scale. We look forward to reporting Q4 results which will reflect the revenue from this MVM. Marketing continues to play a meaningful role in amplifying this momentum. From digital programs in club influencer driven activation in Sam's and strategic partnerships with Amazon Fresh and In we're building a modern consumer facing brand. That meets shoppers where they are where they already are, online, on mobile, and inside the store. With the successful rollout of our new technology enabled Meals for One or MFOs and paninis at Publix, Lauren and her team took the opportunity to leverage social, digital, and in person marketing execution to amplify the launch. But Publix was just one example. Retail and social support delivered Over 24,000,000 impressions in Q3. And a double digit return on advertising spend. Our digital media is not only attracting new consumers, but also creating FOMO, with our retail buyers and prospective buyers in the industry. As our teenage boys would say, sorry, not sorry. Finally, while our focus remains on executing Bayshore integration and supporting organic growth, we continue to evaluate additional opportunities that fit our disciplined acquisition framework. Fair price, strategic alignment, operational synergy, and high confidence in integration. With our strengthened balance sheet, the right systems in place, and a deeper team, We have the ability to act. When the right opportunities emerge. In summary, Q3 showed the strength of our operating model. The resiliency of our consumer demand for deli prepared foods, and the early impact of the Bayshore acquisition. Our retail wins, club momentum, and expanding capabilities give us a clear runway for profitable growth heading into the next fiscal year and beyond. I am I am incredibly proud and appreciative of our team and look forward to updating you on our progress in the quarters ahead. I'd now like to turn the call over to Anthony Gruber, our Chief Financial Officer to walk through some key financial details. From the third quarter fiscal twenty six. Anthony?
[speaker 1]: Thank you, Adam.
[speaker 2]: Moving to the financial results, Revenue for the 2026 increased
[speaker 1]: 50% to $47,300,000 as compared to $31,500,000 in the same year ago quarter. The increase was largely attributable
[speaker 2]: to the acquisition of Crown One as well as robust double digit growth in the legacy business on a pre acquisition basis. Year to date, our organic growth remains at 20%, Gross profit increased 56.6% to $11,100,000 or 23.6% of total revenues in the 2026 as compared to $7,100,000 or 22.6% of total revenues in the same year ago quarter.
[speaker 1]: The increases in gross margin rate
[speaker 2]: were primarily attributable to operational efficiency
[speaker 1]: improvements across the organization in addition to tremendous success
[speaker 3]: managing our raw chicken prices partially offset by beef commodity headwinds and the addition of lower margin Crown One sales, which the company expects to bring in line with the corporate average in the mid-twenty percent range, over the next year. As a reminder, all of this is inclusive of rightsizing our trade promotion investments. When our margins are achieved, and the funds are available. Year to date, our trade rate sits over 3%, This is nearly 2,500,000.0 ahead of prior year. And even more effective returns. From a marketing perspective, year to date, our spend is at 2%. Nearly $1,000,000 ahead of prior year. Combined, this is nearly a 6,500,000.0 year to date investment in our future, and we are already seeing the fruits of our labor. We remain vigilant in managing the magnitude and ROI of our trade and marketing spend and see it as a critical tool to achieve our ambitions.
[speaker 1]: Operating expenses
[speaker 3]: totaled $10,300,000 in the 2026. As compared to $6,600,000 in the same year ago quarter. As a percentage of revenue, operating expenses increased in the third quarter fiscal twenty twenty six to 21.8% from 20.8%. Operating expenses in the third quarter were impacted by the recent acquisition of Crown One Enterprises, as well as $1,000,000 in nonrecurring transaction expenses tied to the aforementioned acquisition. Excluding the aforementioned transaction, related expenses our OpEx as a percent of revenues would remain below 20%. Net income for the 2026 increased 31.7% to $500,000 or $01 per diluted share as compared to net income of 400,000.0 or $01 $1 per diluted share in the same year ago quarter. Third quarter net income totaled 1.1% of revenue as compared to 1.3% in the same year ago. As a reminder, the 2026 net income included the impact of $1,000,000 of costs associated with the acquisition of Crown One Enterprises.
[speaker 1]: Adjusted EBITDA
[speaker 3]: a non GAAP measure, increased 118% to $3,800,000 for the 2026 as compared to 1,700,000.0 in the same year ago quarter. Cash and cash equivalents as of October 31, 2025 grew to 18,100,000.0 as compared to $7,200,000 as of 01/31/2025. Primarily driven by improved profitability, ongoing working capital optimization and the private placement completed concurrent with the acquisition of Crown One. As of 10/31/2025, total debt stood at 6,400,000.0 as compared to $5,100,000 as of 01/31/2025. As we clearly demonstrated this robust balance sheet proactively prepares us to pursue whatever organic or inorganic growth opportunities may come our way. This completes my prepared comments. Now before we begin our question and answer session, I'd like to turn the call back to Adam for some closing remarks. Adam?
[speaker 2]: Thank you, Anthony. As we look across the business exiting Q3, the platform is operating with more precision higher throughput, and a stronger growth engine than at any point since I joined MAMA's. Bayshore is already adding meaningful production depth. And giving us access to premium customers with premium items we couldn't reach. Our focus from here is straightforward. Elevate Bayshore's margin profile, integrate their workflows into our system quickly and cleanly, and unlock the synergy opportunities that come with having three facilities operating as one coordinated network. This is the same disciplined approach we used when we shaped MAMA's in late twenty twenty two. And the proximity of the Bayshore facility makes execution even more efficient. Our teams know exactly what to do, in what order. Align processes, stabilize labor, optimize procurement, and accelerate cross selling. The opportunity set is significant, we're moving with urgency. While our leadership ensures we take every opportunity to celebrate both the large and small wins with our team internally it is always great to be recognized externally. In Q3, Forbes recognized us as one of the most successful small cap companies in 2026. Time, recognized us as one of America's growth leaders in 2026 and locally we are a finalist in NJBiz twenty twenty five business of the year. I am so happy others are recognizing the hard work our 600 associates do every day to deliver for our customers and delight our consumers. Confidence across the organization is high, The consumer shift towards deli prepared foods is accelerating. Our customer pipeline is expanding with tier one retailers and our operational backbone is built to support materially more volume. We are entering the next phase of our growth with momentum, commitment, and a clear line of sight into the value we could create. With that, Luke, let's open the line for questions.
[speaker 3]: Thank you.
[speaker 0]: We will now be conducting a question and answer session. If you would like to ask a question, please press star and the number one on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press star 2 if you would like to remove your question from the queue. For any participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. Our first question comes from Brian Holland with D. A. Davidson. You may proceed with your question.
[speaker 3]: Thanks. Good afternoon, and congratulations on the strong quarter. I wanted to
[speaker 2]: hit on I guess, maybe first off,
[speaker 3]: obviously, you highlighted the incremental wins at Target Food Lion.
[speaker 2]: That's fantastic.
[speaker 3]: Anything you could share on the AIC front progress that you've made? This quarter?
[speaker 2]: Yeah. Thanks, Brian. And really, the credit goes to the team Yeah. Chris is doing an incredible job. So I think I've shared with you before Chris's goals for the year and and his team is AIC driven. You're seeing more and more items come
[speaker 1]: at each customer. So, you know, for instance,
[speaker 2]: Publix You know, we've traditionally had some meal products. We just got two new paninis in. New items we've had traditionally at BJ's. We've had proteins. We've now just got new I guess, nonproteins. So we got these really great sweet potatoes and a tortellini salad. Two new wins at Fresh Market with actually these cool honey thyme carrots, and the sweet potatoes. So, yes, it's absolutely the first thing. Actually, Chris and I every time we have our one on one every week, it starts with our first goal, which is driving AIC. Our second goal, which is driving velocities, and we talk about what trade programs he's doing in partnership with Lauren, what marketing programs they're doing. So Velocity is number two. And actually, a distant third is ACV. And and I've shared with, everyone before. That's because I'm efficient or maybe I'm just cheap. And it is just way the ROI is way higher on getting another item into a store that's already getting a truck delivered or investing in velocities where the product's already there. ACV is harder in the sense sorry. It's not harder, but it takes longer. At times, if we don't have a any relationship with that customer, You brought up just the great work that Chris and his team did with Target. Look, that took a while. That took probably a year. Food Lion, a little shorter, but we get a new item into Publix, we could do it in a week. A new item into a new customer that we haven't had in the past, it could take a year. So AIC is number one, when we talk about things. Hopefully, that adds some color.
[speaker 1]: Yep. Yep. Appreciate that color. May maybe just pivoting to Costco as this this MDM goes into full swing, I I I believe later this month, Obviously, important period kind of in front of that from a
[speaker 2]: sell through standpoint. I think you made some reference to
[speaker 1]: to to maybe some things that you're actively doing to drive awareness and visibility. Just just curious what you're seeing from a you know, understandably, qualitatively, you don't wanna isolate the customer. I appreciate that. But just just even qualitatively, any reads on sell through in front of the MVM, and and maybe specifically what initiatives you you can or are executing build that awareness and visibility in front of the MVM, which is obviously a huge amplifier.
[speaker 2]: Yeah. So thanks. So on on Costco, so a couple things. One, actually already shipping. It's been shipping for a few weeks now. You're you're correct that you will get the the MVM, the booklet, I think, a couple weeks. Something my wife and I so that that's our weekend activity when we get that MVM, the the book. So that's gonna happen at the end of the month. And that's when the discount's gonna be. But we are in the quote, unquote MVM right now in the sense of, the product is selling nicely already. So that's the the first part. The second part, it's it's the great work that Lauren's doing. You know, I've shared in the past. We amplify on Instacart. So Costco is all over Instacart. It gets great, awareness. We do programming on Instacart. And we see great results. Actually, I shared some last quarter A lot of the customers that we're getting on Instacart are actually new to the brand. So Instacart gives us that type of data. So things we're doing there are On other sites, you know, we're doing a great job and great partnership with Walmart. We invest behind on their search and on their website. Walmart does a great job getting more and more. You guys know, listen to the the calls, I'm sure. Getting more stuff through their digital Well, guess what? They're actually helping us by amplifying that. Same thing we're doing on, Publix. There's programming that Lauren does that actually is pretty cool. It's like proximity. As you're driving down, you know, was it a jog road or wherever? My parents would be proud. I'd I'd remember that. But, you know, there seems to be a Publix on every street in Florida. As you're driving through, you'll actually get texts on, hey. Why don't you stop in? So, what we talk about a lot and the team makes fun of me, I don't leave anything to chance. Right? So when we get a new item in, what levers can we pull to, like, accelerate that? Hang tags, things at the point of at the point of sale. So, yeah, we're doing all things like that when new items come in. We absolutely do not just hope it does well. We definitely chum the waters.
[speaker 1]: Oh, that that's great. I wanna be
[speaker 4]: I could go in a bunch of different directions, but well, I'll just I'll nail it down to one more question. Just just the sense you mentioned locking in chicken for calendar twenty six or getting getting close to that. Any sense you even directionally where you're kind of locking in at what levels relative to '25? I understand that the sole purpose of this is not to get necessarily the lowest price, but it's more so about driving visibility But still just interesting with the the the direction that the chicken's moving. You've got pricing in. Obviously, that was a headwind for you, over the last twelve months. So just a sense of what kind of benefit that can provide to you looking out to '26.
[speaker 2]: Yeah. So that there's probably three things that I'd love to to talk about, and I'm glad you bring it up. So the first one is the power Again, there's just so many benefits from the most recent acquisition. With Crown, but one of the 100 is that it literally doubled our chicken needs. And that brought us to another level with who who's who we're reaching out to and who's interested in selling us chicken. Remember, when we first started, you know, it was, you know, a million Right? It's it's nothing like, you know, a little bit of chicken. Now we're literally talking about tens of millions of pounds of chicken every year. And Anthony Morello is doing an incredible job. So the first thing is we're getting better looks People wanna work with us, and we're getting, you know, better pricing. From our scale. Second thing is chicken is better now. It's not gonna last forever. We're all aware of that. But it's good timing, and and we're seeing we're seeing some positive pricing relative to what we had to deal with this year. You know, as a reminder and and you've been following all of this, this is the second worst year for chicken prices after the year after COVID. The the the average price for the year is going to be the second highest it's ever been on record. So it's great to see that the numbers are are getting better.
[speaker 4]: The third, and and I do wanna actually save some of this and
[speaker 2]: until our Investor Day in February, but what's really wonderful is the the Crown business actually gave us a different way to think about our business. And and as much as we've been grandma quality, which we always have, I we're thinking about being even more premium. And Chris's past experience helps us think about what we wanna be when we grow up of sorts. I think that there's some exciting news that we're we're looking to share to become even more grandma quality, but I I let's hold that to the investor today.
[speaker 4]: Excellent. Appreciate all that. Best of luck.
[speaker 2]: Thanks, Brian.
[speaker 0]: Our next question comes from Eric DeLaurier with Craig Hallum. You may proceed with your question.
[speaker 4]: Great. Thank you for taking my questions, and congrats on yet another impressive quarter here. So one of things I wanted to touch on was the planned SKU rationalization of some Crown products. Just wondering if you could shed some more color on it sounds like I mean, what inning you're in terms of identifying which SKUs to rationalize and then in terms of actually working through those inventories and if you're able to just provide a little bit more color on the SKUs that you are rationalizing if you are. Presumably, they all do not meet your margin requirements. So wondering if there's any you know, customer product type or geographic concentrations to be aware of. Thank you.
[speaker 2]: Yeah. Thanks, Eric. So I think we're doing so we've we've started that. We've had meetings about that. That's work that Chris and Lauren are are leading This wasn't the first thing we wanted to do. Right? So first, we wanna understand. I want we wanted Chris to have those meetings with those customers. He's actually already had face to face meetings already with two of our top three new customers. And and the first meeting wasn't about, hey. Here are the things taking away from you. So we knew that the SKU rationalization was probably secondary to a couple other things. All the work that Skip's doing we don't need to, know, rationalize the SKUs if Skip's able to turn everything around and and COGS, you know, go down because we could optimize how we produce it. So what I can tell you is the team's already had meetings. They've started to put that list together. And, again, the the intention I wish every product was wildly profitable. Wildly high enough in volume to justify it. Right? Everyone knows MOQ, minimum order quantities. So the
[speaker 4]: the the bias is not to rationalize
[speaker 2]: just so we could, you know, share with investors that we've cut SKUs. But the team is absolutely clear all about gross margin. Right? We have to be we have to be around a year from now. Right? So we need to have the right margin profile. And and Chris and and Lauren are are all over it. So they understand everything, all the products. We're putting it together. The Bayshore team is doing an incredible job helping helping us accelerate some of it. So we've we've started on it, but it's we wanted it was very intentional that we weren't gonna do anything until January because Chris wanted to understand all the products, all the customers, meet with all the customers, and then we'll start that in January. So on track.
[speaker 4]: Alright. That's all very helpful. I appreciate all that color there. It makes sense to me. Just last one for me. It's a bit of a kinda conceptual question. Just wondering how you're thinking about trade promotion I guess, target levels over the next year or so? Just wondering how the Crown integration may or may not impact near term trade promotion levels.
[speaker 2]: Yeah. So a couple things. So the first one is as a reminder, most, if not all, of the crowns, products are private label. So they have a very either very low to negligible, Anthony Gruber would tell me, de minimis. Trade rate. So that would, on a percentage basis, might lower the number overall. That's not to say that that's initially. I still am very bullish. I always tell Chris, but Chris is the ultimate boss. I wanna invest. A, we have it. And two, it's all about growing the velocity and getting us some new customers through trial.
[speaker 4]: I I would tell you that
[speaker 2]: I still wanna push it up. If I were to, you know, I was really happy. You know? Probably Q1, think Q1, we were north of, like, 6%. Maybe that was a little high. Then we went a bit down to, like, three and four over the past couple quarters. I'd love it a little bit higher, but I leave that completely to Chris. On is the ROI as high as it could be? Remember sorry. I I probably should take something back and say, it's not about how much trade spend. It's how do you get efficient and and high ROI trade spend. And that is the lens from which we use. But I will continue to push Chris and and Nick on his team to find high ROI trade spends. And then equally, I'd say the same thing with Lauren and her team on marketing spend. The ROAS, like I said, double digits. It's incredible some of the things that Lauren and Jessica are doing, to get some great ROAS's return on advertising spend. So I'll continue to push the team, but it has to be high ROI.
[speaker 4]: Appreciate taking my color, and excuse me, taking my questions, and thanks again for the color.
[speaker 2]: Thanks, Eric.
[speaker 0]: Our next question comes from George Kelly with Roth Capital Partners. You may proceed with your question.
[speaker 4]: Hey, everyone. Thanks for taking my questions. And congrats on a nice quarter.
[speaker 0]: So a few for you. First,
[speaker 4]: it looks like stripping out Crown organic growth was close to 20% in the quarter. I'm curious if you could give the breakdown between volume and pricing? Yeah. Super, super proud of that as well. So
[speaker 2]: about 80%. So, actually, it was about 80% of it was volume driven. So, while it's kinda funny. I don't know which one I want to to see more. I think it's the right level, but I was super proud of getting the right pricing. This is, you know, about 20% price driven. That's important. You see. Right? It's it's not about getting a lot. It it's about maintaining our gross margin. We have been speaking, and I'm very thrilled to speak to you about lower chicken prices. But equally, we all understand because everyone reads the paper every morning. Beef prices are through the roof. Right? Up 50% the worst herd in seventy three years. That has been creating real headwinds for us. So Chris has done a great job, has great partnerships with our customers. To share the data. Right? We have both actuals and we actually have third party forecasted data. And it's collaborative. We share with our our customers We don't want any more gross margin. Right? We just need to maintain what we have and that means that we have to know, strategically and targeted raise prices when commodities get too high. So
[speaker 1]: I really like that on that 20 range, but then equally,
[speaker 2]: buy me another CPG company that's growing 80% in volume. I mean, it's just pretty awesome, the work we're doing. And, again, going back to those three tenants, that Chris is leading on, getting, more items into every store, getting our velocities higher. You guys read all the time. What's happening in the deli prepared set and getting into new stores like you saw with Target and and Food Lion and others.
[speaker 0]: Okay.
[speaker 4]: Okay. That's great. And then next question for me. Adam, you mentioned in your prepared remarks
[speaker 2]: that you're transitioning to a make to stock organization.
[speaker 4]: I was wondering if you could give a little more context on the progress there. And I guess just as background,
[speaker 2]: like, how much growth were you kinda leaving on the table? Because
[speaker 4]: you weren't sort of fully on shelf or, you know, availability wasn't always there. And and
[speaker 2]: as
[speaker 4]: you embark on that, is do you feel like you're inventory at retail is now in a good place, or should we anticipate there'd be a there being a few quarters of retail inventory fill as you execute on that? Yeah. So there so so first, there's no
[speaker 2]: not sure, inventory fill. So from a customer perspective, they're pulling normally. They're seeing no difference. The the difference is the fact that we always have supply for them. Our service levels are are are perfect or near perfect. So very excited about this idea of of make the stock. So we have great partnerships. Third party logistics. You know, for instance, I'll give you a for instance. A 100 nearly a 100% of everything that's going out in Costco was prebuilt. Eric and his team in East Rutherford did a just an amazing job. So what that means is anytime Costco needs anything, it's there. No matter what. They need extra accidentally, it's there no matter what. I would tell you, you know, when I first started three years ago, I don't think left anything on the table per se because quite honestly, we just didn't have the demand. Right? You know, if if I have someone to blame for this, it's Chris and his his amazing sales team for just doing so well that they're just constant, demand and pull in new items. So I think this is a logical evolution. Of our company. Right? My days at Mondelez, PepsiCo, they you know, we we didn't wait for someone to order some Oreos for us. For us to then, you know, start to produce them. Right? Everything was a make to stock. So yeah. No. I think this is the logical next step. We're doing exceptionally well. It provides better results for our customers, like I told you, in service levels. But, honestly, it makes it's better for us because we're not rushing We're not doing triple overtime you know, eight days a week because we've fallen behind. Now we're able to do it with lower overtime. And better service levels. So yeah. So I'm loving it. The goal is for all of our major items, with with multiple customers. Right? So the the idea there is you don't get stuck with it. And great work that Skip and his team are doing constantly. I see. You guys know I I look at everything, all day Sunday, and I get a report from Eric every actually, a couple times a week but I review it in detail every Sunday. On every single item that we're building in stock. Looking at the velocities, looking at the movements, and and, the team gets love notes on Sunday on if something's a little slower than I would have expected.
[speaker 4]: Okay. And then last question for me is on gross margin. Just trying to think through the next few quarters. With respect to can you give Crown's gross margin in 3Q? And then you talked about it reaching that kind of mid-twenty range over the next year. Is that going to be a linear ramp or how how should we sort of map that out? And then secondarily,
[speaker 2]: the legacy business,
[speaker 4]: Curious if you can give any
[speaker 2]: of your expectations just on the next
[speaker 4]: quarter or two and and, you know, high level for for fiscal year twenty seven? And that's all I had. Thank you.
[speaker 2]: Yeah. Thanks, George. So remember, while obviously we have three plans, I'm not telling you I'm not looking at those three plans. There is so much, and I'm proud of this, Everything melds together. So, you know, I've given you examples that we're buying, you know, one you know, when we're buying from a procurement perspective, for oil, we buy we make one order of oil, and then we distribute it across the the three facilities. Or equally, there are items now that are made in multiple facilities. So it's hard not hard. It's it's less relevant to look at individual, you know, the gross margin is this. I will tell you, obviously, we look at everything. And, of course, we knew from the acquisition. Of course, we knew that the Bayshore legacy business had a lower margin. We're we're seeing everything pick up. Know, when I look at you know, whatever skew one, two, three, four meatballs that are in multiple locations, I could see that that number is rising week to week, another Sunday activity. Is looking at our top 25 SKUs every you know, the weekly, margins, and I'm seeing those move appropriately. So we will we will get to like, I committed to, by the definitely, by the end of next year. I think I said twelve to eighteen months. We you won't know the difference between Bayshore margins from Farmingdale's margins from East Rutherford's margins. And we're on track to do it. I would argue ahead of where I expected. So that's, you know, the what what's happening with Bayshore. Obviously, if you know that from the legacy business, the base chart numbers are lower, and you see where our margins are now, you could see that our legacy business is a clearly, the math even my son's a a data data analytics now. At WashU. Give him give him props. Even he could tell you that well, one number's lower and we're moving up.
[speaker 4]: The legacy business must be
[speaker 2]: quite a bit higher. So we are definitely seeing our legacy business move up. That's a function of great production and efficiency that Skip's doing. Commodities chicken commodities helping us with a little bit of headwinds from beef. But we are seeing a much healthier business today than we were you know, or early this year.
[speaker 1]: Okay.
[speaker 0]: Our next question comes from Ryan Myers with Lake Street Capital. You may proceed with your question.
[speaker 4]: Hey, guys. Thanks for taking my questions. Congratulations on the strong quarter. I'm just kind of curious, obviously, than expected gross margins even with the Crown integration. So know, as you guys have owned this business now for a couple of months, and, I mean, do you think this integration is going better than expected? As expected? Because it seems like, you know, on the surface, your things are are are
[speaker 2]: continuing to trend very, very
[speaker 3]: favorably and positive with the acquisition.
[speaker 2]: Yeah. No. And and, Ryan, that's a testament to the team, both the the Bayshore team and their their openness and eagerness, like, that's that's the word. They are truly eager. They are excited. So many of the folks from Bayshore have come to East Rutherford. How many you know, tons of people to to Farmingdale? It's just truly from a cultural perspective that is exceeding, massive, exceeding expectations, and I'm so appreciative of it. You know, production wise, we move faster than I I expected. So thanks to Skip and team on cross you know, producing items in multiple locations. Exceeded expectations on the procurement and how quickly Alberto was able to centralize everything. So I'm really happy with it. Has everything been absolutely perfect? No. It's
[speaker 4]: I'm not sure which ones yet, but I'm sure there's something that hasn't been perfect.
[speaker 2]: You know, I go there every single week. I really enjoy it a lot.
[speaker 4]: Skips
[speaker 2]: there multiple times a week. And, no, I'm just really the the fact that it's so close to the Farmingdale facility just really unlocks a lot. Actually, more than I would have expected. So But overall, I would definitely tell you exceeding expectations.
[speaker 4]: Yeah. No. That's great to hear.
[speaker 3]: And then, you know, congrats on the two new
[speaker 4]: customer wins. So just curious, you know, as you think about the 2,000 or so stores at Target and then the roughly 1,100 at TrueLine,
[speaker 3]: Is there additional capacity that you think you guys need to bring online, or do you feel like you, for the most part, will be able to
[speaker 4]: unlock this capacity through the now three facilities that you guys have.
[speaker 2]: Well, so that's why there was a little bit of clairvoyance Right? So the fact that we got 42,000 square feet of space accidentally. Of course. With the the Bayshore acquisition. That's a huge unlock. So they were probably roughly at, like, I don't know, let's call it 50%. And there is in in the earlier question from Eric on you know, there'll be some SKU rationalization. Right? We wanna make sure it's not just about producing. Right? My team knows that they don't get credit for revenue. They get credit for profitable revenue. So there'll be some SKU rat rationalization. Will give us even more space. And then as I've shared with with many of you, we just took over in our New Jersey facility We're in a building that had two a a wall in the middle. We actually took over that other space. So, very excited, Skip. Actually brought in some new folks, Shane and and Carlos. To help us expand, and that's actually already happening and will start early next year. That will unlock additional capacity. That almost doubles our New Jersey facility. So between the expanded New Jersey facility and the building out the Bayshore facility, I feel good that we could we could double our business just with that.
[speaker 4]: Got it. And, of course take my question. Most importantly,
[speaker 2]: it's, I don't stop. I maybe I took a day or two off, but you know, already back in the market looking at what the the next acquisition could be. Which gives us more space.
[speaker 0]: Our next question comes from Anthony Vendetti with Maxim Group. You may proceed with your question. Thanks.
[speaker 4]: Adam, I was wondering if you could give us a count now with the target rollout, the line rollout. How many store first stores are you in?
[speaker 3]: At this
[speaker 0]: at this point today? And then
[speaker 2]: from the Crown acquisition, what capacity is that at right now, and has that enabled you to roll out like, how much of that is coming from the target rollout food line? How much is that coming from your existing facilities versus the the new Crown facility? And and then as as a last question, Costco.
[speaker 4]: What's the opportunity to continue to build out that relationship?
[speaker 3]: Thanks so much.
[speaker 1]: Yep.
[speaker 0]: So
[speaker 2]: so the first question you know, I I I can get back to you on the exact number if we're at twelve now and and once we get to full rollout at Target and Food Lion, that's, you know, another three. So don't know. Let's call it 15,000. But I'm happy to get back to you on the actual number And, again, it's gonna take some time to do the full rollout just as well as we did with with Walmart. I am I am very patient when it comes to executing with excellence. So I'm not in any rush to get to, to every single store on the first day. So that's to your first question. Second question, you know, maybe I won't accept the premise of your your your question
[speaker 4]: a sense that
[speaker 2]: we're all family, all three facilities. We don't talk about legacy, old, this or that. That was a great learning I had from my Mondelez days where you know, ten years later, people are still talking about being, you know, CAD versus Nabisco. We are one team today the acquisition happened. Lauren did an amazing job and and put all posters and everything up. We're we're one team. So, to your point, to your question, yeah, Food Lion, I believe, is coming out of the Bayshore facility. Target is likely coming out of the New Jersey facility. They're, branded sleeves, So you know, Skip looks every day at at how do we be optimal. We make sure when we speak to customers. And since the acquisition, we're getting sort of certified. So there's some customers that wanna know exactly which facility they're coming out of. And they they'll do audits. So they've already started to do that in Bayshore. Our strategy is our product can be made in any one of our three facilities any day of the week. So it's where do we optimize Obviously, Bayshore right this minute, has more capacity, has more space. Right? 42,000 square feet. Versus the about 25,000 square feet in Farmingdale and about 25,000 square feet in New Jersey. So we're definitely pushing volume there. But we look at it as one one network. So it's wherever the best place to produce it at any given day, and it actually might change from day to day. You had a third question on Costco. Yes. I forgot. I apologize. What was the question on Costco?
[speaker 4]: Just what's the opportunity to
[speaker 2]: continue to expand that relationship there? Would you say you're at about 50% saturation there or or you know, where are you in terms of the ability to to make that
[speaker 0]: in in you know, a more lucrative relationship and how much room
[speaker 4]: runway do you have there? Yeah. I
[speaker 2]: I love it. I love actually, all my partnerships, all of our partnerships with our customers know, some of them are different, but they're all they're they're all great. Talking about a question that I could not even begin to answer. The the opportunity is huge. With Costco. And every day that goes by, thanks to Scott and and the team, great relationships now. Every every day with with all eight of the regions. So this remember, just three years ago when when Anthony and I started, we had a relationship with just one. Right? With just the Northeast. And maybe we do one rotation all year long. Just once with with the Northeast. Now every day, we're having conversations Remember, we could speak and it's not one or the other. We actually meet all the time with individual regions, and we might decide to do a rotation with just one. Equally, we have similar conversations on how do we do national buys. Which we did last year or MVM, digital MVMs, which we did earlier this year. Or MVMs, which we're doing now. So I love the opportunity. Why? Great customer. Great consumers. Right? There are type of consumers. Quality, grandma quality.
[speaker 4]: They're growing.
[speaker 2]: So I think it's it's truly limitless. With with Costco. And and thanks to Scott and the team, we have great partnership with them that we're speaking to them all the time. With tons of items. Right? We you know, we we just did we're doing the BP Pulse now. The the cheese stuffed chicken meatballs. Remember last year, we did the sauce. We did, meatloaf. We did the sausage and peppers. They're having tons of conversations now about some new item. So, yeah, I think that there's a lot of opportunity. I'm very bullish on club and mass. And I like I like the the oldie litles of the world. For next year. I I I understand what's happening in in the marketplace. I know consumers' purse strings are tight. And I think the the winners are gonna be in this, you know, the club and mass channel. Where we have great relationships.
[speaker 0]: Okay. Great.
[speaker 4]: So much. I'll hop back in the queue. Appreciate it.
[speaker 3]: Thank you, Anthony.
[speaker 2]: Any other questions, operator?
[speaker 0]: This now concludes our question and answer session. I would like to turn the call back over to Adam Michael for closing comments.
[speaker 2]: Thank you, operator, and thank you again to each of you for joining us today. This quarter showed what this organization can do when every part of the engine is aligned. Our sales and marketing teams continue to open meaningful new doors Our operations team is scaling efficiently. And with discipline, our finance and with discipline. And our finance and people teams are building the foundation
[speaker 4]: required
[speaker 2]: for long term profitable growth. The early progress with Bayshore is already strengthening our platform. Expanding our capabilities, and increasing our access to high value customers. With major retail wins coming online, growing momentum in club and mass, a unified network that can support significantly higher volume we are entering the next phase of our growth with confidence. As always, we appreciate our investors' continued support and look forward to updating you on our execution in the quarters to come. Finally, as we head into the eve, of the holiday season, I wanna thank you I wanna say thank you to the men and women of MAMA's that make me so proud to be called their teammate. Happy holidays to all.
[speaker 0]: This ladies and gentlemen, thank you for your participation. This now concludes today's conference. Please disconnect your lines and have a wonderful day.